Operator: Greetings and welcome to the Marin Software Second Quarter 2024 Financial Results Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Bob Bertz, Marin's Chief Financial Officer. Thank you, Bob. You may begin.
Bob Bertz: Thank you. Good afternoon, everyone. And welcome to Marin Software's second quarter 2024 earnings conference call. My name is Bob Bertz. I'm Marin's CFO. And joining me today is Chris Lien, Marin's CEO. By now, you should have received a copy of our earnings release, which crossed the wire a short time ago. The release can also be obtained on our website at investors.marinsoftware.com. Call participants are advised that the audio of this conference call is being recorded for playback purposes, and that the recording will be made available on the Investor Relations section of our website within a few hours. Before we begin, I'd like to note that our discussion today will include forward-looking statements within the meaning of the Securities Act of 1933 and the Securities Exchange Act of 1934. These forward-looking statements include statements about our business outlook and strategy; our expectations for customer adoption and use of our services; historical results that may suggest trends for our business; our expectations about our ability to improve customer retention and new business bookings and to sustain or grow our business; our expectations about our expenses and cash resources; the impact of investments in product and technology; progress on product development efforts; product capabilities and benefits; our relationships with publishers and other parties in the digital advertising market; expected revenue under our strategic partnership agreement with Google, expectations for future economic activity and digital advertising spending; expected restructuring costs and cost savings from our restructuring efforts; our efforts to raise additional financing or to negotiate and complete potential strategic transactions; and our expected Q3, 2024 and future financial results. We make these statements as of August 1, 2024, and disclaim any duty to update them. For more information regarding these and other risks and uncertainties that could cause actual results to differ materially from those expressed or implied in these forward-looking statements as well as risks relating to our business in general, we refer you to the section entitled Risk Factors in our most recent reports on Form 10-Q and Form 10-K as well as our other SEC filings. This presentation contains certain financial performance measures that are different from the financial measures calculated in accordance with GAAP and may also be different from similar calculations, or measures used by other companies. A quantitative reconciliation of these non-GAAP financial measures to the most directly comparable GAAP financial measures is available in our second quarter 2024 earnings release. With that, let me turn the call over to Chris.
Chris Lien: Thank you, Bob. Good afternoon, everyone, and thank you for joining our call today. I'll share my observations on the quarter and provide an update on our initiatives, to sustain and grow our business. Bob will then provide additional detail on our second quarter results for 2024, and our outlook for the third quarter of 2024. As we highlight each quarter, we are committed to our efforts to sustain and grow our business and to maximize shareholder value. Our plan to achieve this is focused on delivering a leading cross-channel advertising management platform, to enable brands and their agencies, to maximize the return from their online advertising investments. As announced in today's earnings release, Q2 revenues came in within our guidance range at $4 million, down about 7% year-over-year as our revenue decline moderates with progress in improving customer retention, and new bookings. Our Q2 non-GAAP operating loss beat the high end of our guidance. Our non-GAAP operating loss was materially lower on a year-over-year basis, reflecting the benefits of our July 2023 restructuring and reduction in force plan. Our total cash balance at the end of Q2, was $7.9 million. As we announced earlier this week, I'm pleased to share that Marin Software has renewed its strategic partnership agreement with Google for another three years, commencing on October 1, 2024. This agreement underscores our commitment to fostering innovation and providing advertisers with unparalleled tools, for managing and optimizing their paid search campaigns. Consistent with our current agreement with Google that is scheduled to expire on September 30, 2024, Google will continue to make payments to Marin based on the total paid search spend, managed through our platform across Google and other search publishers, including the same minimum quarterly payments as under our current agreement. This partnership helps enable us, to advance the Marin platform, ensuring it meets the evolving needs of the world's leading search advertisers. As I've shared before, Marin seeks to be an ally in digital for the world's leading brands, and their agencies. The online path to purchase traverses a range of channels, devices, and publishers. Marketers need to engage at all points of this customer journey, and the walled gardens of Google, Facebook, Amazon, and the other publishers, including TikTok, Snap, and LinkedIn, do not play well together. Brands must connect the dots. Marin helps these advertisers to measure, manage, and optimize their online advertising investments, driving performance, time savings, and better business insights. We do this by serving as a performance layer that complements the tools that each of the publishers provides to its customers. These publisher tools, understandably, are focused on the ad units of each publisher, and encourage brands to spend more with that publisher. The publisher tools generally don't compare advertising performance across publishers, don't highlight opportunities to reallocate spend across publishers to improve performance, and don't promote a unified view of a customer's journey across channels, devices, and publishers. We supplement our Marin platform with support from our experienced team of digital marketing experts who can help brands to navigate the complex, but rewarding world of digital advertising. As a reminder, we've been investing over the past quarters, to give brands and agencies a user-friendly cross-channel advertising management platform, enabling them to sell more, by unifying the fragmented world of performance marketing. To address the varying needs of digital marketers and their agencies, we offer three primary products. Connect is a reporting-focused solution for advertisers looking to collect their performance marketing data from a variety of sources, and send to data warehouses, BI tools, and spreadsheets. Step one of understanding your digital advertising spending is to have reliable, comprehensive reporting in a format that addresses your particular business needs. Marin provides marketers with unified revenue cost and ad performance data, via our Connect offering. Ascend builds on the data foundation provided by Connect. Ascend is designed to address the three Fs of performance marketing, fragmentation, forecasting, and frequency. Fragmentation is the need to allocate advertising investment across a range of publishers and campaigns. Forecasting is identifying what is the likely return from a given marginal dollar of online advertising investment, and frequency is the need for software to reallocate and pace the online advertising investment, to deliver the best return. Ascend is our budget management pacing and forecasting solution that enables marketers to leverage Marin's AI-based optimization methodologies to deliver budget compliance, as well as to understand what if from increased or decreased advertising spend, and to understand optimal spend allocation across campaigns, publishers, and channels. Historically, these kinds of budgeting decisions have been done with spreadsheets in a highly manual and potentially error-prone approach. Marin is able to provide marketers with a powerful UI to automate these budgeting decisions, while providing flexible budgeting controls and the ability to use a range of bidding approaches, including support for Google Smart Bidding. Ascend supports a range of publishers and channels, including LinkedIn, TikTok, Apple Search Ads, Amazon, Reddit, X, which was formerly known as Twitter, and Taboola, in addition to Google and Meta. Our optimization tools now allow fine-grained control of the posting of budgets and/or targets to ad platforms with Ascend. This feature ensures that budgets are dynamically adjusted to maximize campaign performance, without manual intervention. In the past quarter, we introduced in-grid pacing charts and upgraded the strategy setting side panel, to make monitoring and managing campaigns easier. Ascend complements the robust in-channel publisher bidding and provides an independent measure, and means to allocate and pace online advertising investment, delivering optimal financial results and significant time savings, compared to alternative manual approaches. With each passing quarter, we are encouraged as we see more advertisers and agencies benefiting from Marin Ascend, as well as growing interest in evaluating Ascend. As I've shared, Ascend is already helping drive both new business and renewals. At this time, just under a quarter of Marin's customers are using Ascend's functionality, and we expect further adoption in the coming months. Marin's third offering is MarinOne, our flagship cross-channel advertising management platform. Our goal with MarinOne is to complement publisher tools and empower advertisers to analyze, automate and optimize their digital marketing campaigns more effectively. MarinOne is designed to enable management at scale, for large paid media programs, driving time savings and financial lift. And I want to highlight a recent customer success story with EasyGo, an Australian pioneer in online gaming, who leveraged Marin's powerful optimizations and automations to reduce their cost per conversion by 40% and cost per click by 30%, while increasing their conversions by 41% with Apple Search Ads. This past quarter, Marin enhanced our core paid search functionality to include listing group support for performance max campaigns. Marin users can create and edit listing groups across all Microsoft Ad and Google Performance Max campaigns, functionality not available in the publisher platforms. We are fortunate to live in the time of AI, promising to transform our business and personal lives with efficiency gains and new capabilities. With powerful large language learning models now developed, the focus turns to how a modern marketer begins to apply AI to his or her marketing program, to deliver results for the business. Marin debuted ChatGPT-powered anomaly detection reports designed to identify and summarize performance outliers. These reports are delivered in a concise, easy to understand format via email on a daily, or weekly basis, enabling marketers to review and address significant deviations in campaign performance quickly. Marin's team also delivered an initial release of Advisor, a ChatGPT-powered teammate trained on Marin specific content. The client can advise you on Marin and digital advertising best practices, such as account linking and setup in Marin, troubleshooting campaign or platform issues, and how to apply digital marketing best practices to your Marin campaigns. Advisor helps Marin customers to see tangible benefits from the use of AI. Our team intends to expand the application of AI to optimize online advertising and expects to bring additional innovations to market in the coming quarters. As we have discussed on past calls, our activities to support brands and their agencies take place against an active backdrop of governmental antitrust investigations, of the businesses of leading publishers in the digital advertising market at the federal and state levels and in the EU. There also is the potential for federal legislation, to regulate the conduct of the leading publishers, which could benefit Marin's role as an independent ad management platform. Marin enjoys co-opetition relationships with the leading publishers, and we do not expect significant changes in these relationships in the near-term. As I mentioned on our last call, we see early but encouraging signs that our latest efforts, are resonating more with customers and prospects. Marin can benefit as consumers spend increasing time online and add dollars to follow them, creating more needs for brands to measure, manage, and optimize these investments, to acquire customers and drive revenue outcomes. With the combined online advertising share of Google and Meta below 50% and the growing fragmentation of digital advertising outside of these two leading publishers, be it on Amazon, Apple search ads, LinkedIn, Reddit, or TikTok, we see increasing interest in brands taking a cross-channel approach, to their digital advertising investments, leveraging Marin's cross-channel reporting, management at scale, and budget optimization. And now Bob will review our second quarter financial results, and our outlook for the third quarter of 2024.
Bob Bertz: Thank you, Chris. I'll provide an overview of our second quarter results and then share our forecast for the third quarter of 2024. I'll begin with a review of our income statement. For the second quarter of 2024, Marin generated $4 million in revenue toward the low end of our guidance. Second quarter revenue was down approximately 7%, when compared to total revenue for the second quarter of 2023, indicating a moderation of our revenue decline, when compared to prior quarters. The decrease of revenue year-over-year is primarily attributable to the fact that existing customer churn outpaced new bookings. Our geographic split for revenue, is approximately 81% U.S. and 19% international for the second quarter of 2024. Moving on to our operating results. As a reminder, our financial statements and a reconciliation of our GAAP to non-GAAP financial measures can be found in our earnings release issued earlier today. As I have discussed on previous calls, we commenced the implementation of a restructuring plan in July of 2023. The restructuring plan is expected to reduce our pre-tax cost structure, from prior levels by approximately $10 million to $13 million on an annualized basis. Close to $10 million of the estimated annualized cost savings, is expected to come from the reduction in force, which reduced our workforce globally by 64 positions, as well as 15 full-time equivalent contractor roles. The reduction in force was complete as of the end of 2023. We incurred approximately $1.8 million in restructuring costs, substantially all of which relate to severance and other one-time termination benefits. We began to realize the associated cost savings during the third quarter of 2023. We expect to fully realize the estimated savings in 2024. As of the end of Q2, 2024, we are on track to achieve our savings target. Our non-GAAP operating loss was $1.7 million for the second quarter of 2024, as compared to a $4.8 million loss for the second quarter of 2023. The $1.7 million non-GAAP operating loss in Q2, was $0.1 million better than the high end of our guidance through our expenses. The decrease in operating loss as compared to Q2, 2023 is primarily attributable to real-life savings from our restructuring plan implemented during the second half of 2023, which were partially offset by lower revenue in the current period, as compared to last year. Our non-GAAP operating expenses in Q2, 2024 of $4.1 million represents a 38% decrease, when compared to the prior year quarter. The decrease is attributable to the implementation of our restructuring plan. We ended the quarter with 104 total headcount globally versus 172 a year ago. The decrease in headcount year-over-year, is due to the reduction in force that was commenced in July 2023 as part of our restructuring plan. About half of our remaining team is in technology roles, which we believe allows us to continue to deliver new products, features, and functionalities to drive results for leading brands and their agencies. In terms of our balance sheet, we ended the quarter with a total cash balance of $7.9 million, as compared to $8.6 million at the end of the previous quarter. As we have disclosed in our recent SEC filings, we are exploring opportunities to raise additional financing as well as potential strategic transactions, but we cannot provide any assurances about the terms, or timing of any such transactions. As Chris mentioned above, we renewed our strategic partnership agreement with Google in July for an additional three-year term, and the new agreement will commence on October 1. Under the terms of the new agreement, we expect to recognize the same quarterly revenue payments from Google as under the current agreement that, is scheduled to expire on September 30. In addition to the expected quarterly revenue payments, we may also be eligible to earn incremental payments from Google under the new agreement, if our managed spend exceeds specified levels. Moving on to our outlook. For Q3, 2024, we expect revenue to be in the range of $4 million to $4.2 million, and our non-GAAP operating loss is expected to be in the range of $2.1 million to $1.9 million. This concludes our call for today. Thank you for your time. We look forward to updating you again during our Q3, 2024 earnings call.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.
Q - :